Operator: Ladies and gentlemen thank you for standing by. And welcome to Papa John’s Fiscal 2020 Q4 Earnings Conference Call. At this time participants are in a listen-only mode. [Operator Instructions] Please be advised that today’s conference may be recorded. [Operator Instructions]  I would now like to hand the call over to your speaker Mr. Steve Coke, Senior Vice President of Financial Operations, Accounting and Reporting.
Steve Coke: Thank you. And good morning everyone. Joining me on the call today are President and CEO, Rob Lynch; and our CFO Ann Gugino. Rob and Ann will have comments on our business and provide a financial update. After the prepared remarks, both we will be available for Q&A. Our discussion today will contain forward-looking statements involving risks that could cause the actual results to differ materially from these statements. Forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our SEC filings. Please refer to our earnings release in the Investor Relations section of our website for a reconciliation of non-GAAP financial measures discussed on this call. Finally, we ask any members of the media to be in a listen-only mode. Now I'd like to turn the call over to Rob Lynch for his comments. Rob?
Rob Lynch: Thank you, Steve. And welcome everyone to our 2020 year-end earnings call. I'm thankful to be here this morning to discuss our 2020 results. Last year was a year without precedent for our company and for the world. Despite the challenges of 2020 Papa John's was able to move forward with its new strategy, delivering significant business growth in the process. Before I talk about our results, let me begin by acknowledging that the impact of the pandemic has been felt by everyone and many have incurred tremendous losses. To everyone, including every Papa John's team member franchisee, and customer who has lost loved ones or experienced significant hardship, I want to extend our deepest sympathy on behalf of the Papa John's family. We all hope for the end of the pandemic as soon as possible. Despite the challenges that we faced, 2020 was a transformational year for Papa John's. For four straight quarters Papa John's comp sales have outperformed our pizza delivery peers. I see this as an indicator that something truly different and sustainable happening at Papa John's, and that we're well positioned for the future. When I joined the company in August of 2019, the enormous potential of our brand, team members and franchisees was apparent. In my mind, there was no doubt that Papa John's could become the best pizza delivery company in the world. Today, after lots of hard work during a very difficult time for us all, the company is in a very different position than it was a year and a half ago. More than at any time in our history, Papa John's has a clear path forward. No longer does the idea of becoming the world's best pizza delivery company feel unreachable. In fact, today strong momentum has been steadily building since the second half of 2019. At that time, we established our company purpose, values and strategic priorities. We rebuild a leadership team who reflected those values and we remove the guardrails around innovation. At the start of 2020, Papa John's innovation mindset was taking hold, as proven by a wave of successful new products, including Garlic Parmesan Crust, Papadias, and Jalapeno Poppers, which drove strong Q1 performance and a third consecutive quarter of positive comp sales at that time. In March, we moved quickly in North America to execute against the playbook that we had developed as a result of our experiences across our global footprint. In particular, we focused on making the necessary investments protect our team members and customers, so that we could keep our doors open and continue serving our communities in their time of need. In April, and continuing through the remainder of 2020, our restaurant operations, vertically integrated supply chain, e-commerce platform, and last mile delivery business model, all proved their worth, driving record results and strong outperformance in North America and internationally. As we reported this morning, Papa John's Q4 results continued the momentum we achieved in Q2 and Q3. Comparable sales rose 13.5% in North America, and 21.4% internationally. Adjusted earnings per diluted share grew to $0.40 from an adjusted loss of $0.25 a year ago, excluding special items. For the full year, our system delivered record sales, driven by comps, up 17.6% in North America, and 12.6% internationally. In both cases, growth was driven by a healthy balance of higher ticket and higher transactions. Adjusted earnings per diluted share for the year grew to $1.44 from just $0.03 in 2019, excluding special items. For the year, we also achieved record average unit volumes or AUVs, for the first time crossing the $1 million threshold in North America. We also generated significant free cash flow and ended 2020 with a balance sheet that enables us to invest in our future and to drive long-term shareholder returns. Ann will discuss our results in more detail in a moment. Looking back at what made Papa John's stand out in 2020, innovation has been the consistent theme behind our success and strong performance. At Papa John's innovation means challenging how we can be better at everything that we do. Looking ahead at 2021, we expect to build on this momentum across four key areas of our business. First, in our product, marketing and customer experience, as we build on our premium position in the marketplace. Second, in our development, strategy and infrastructure, as we work to realize our huge unit growth white space opportunity. Third, in our operational and financial performance as we improve to deliver better service, better margins and better cash flow. And finally, through the inclusive and diverse company that we are building. Our focus on diversity, inclusivity and winning is how we foster an innovation mindset. Having different backgrounds and perspectives at our table is how we'll continue to challenge ourselves to get better and accomplish everything I just mentioned. I'd now like to quickly address our progress in 2020 and outlook in 2021 for each of these areas. As I previously discussed, new product marketing and customer experience and innovation was an overarching headline in Papa John's 2020 story, especially our record comp sales. It's also a pillar of our plan for fiscal 2021 and in achieving our long-term growth objectives. For Papa John's, being the best pizza company in the world starts with having the best food. We invest a lot in our products and we fundamentally believe that we have the best food in the industry. Fortunately, Papa John's differentiated premium position also gives us a lot of runway for great product innovation. Last year we introduced many new products including Papadia, our Italian flatbread-style sandwich, Jalapeño Popper rolls, and the limited time Shaq-a-Roni pizza, developed in partnership with our board member and franchisee, Shaquille O'Neal. We managed to seamlessly introduce new products at a time when our restaurants were meeting an unprecedented rise in demand. I want to thank all of our corporate and franchise restaurant teams who worked hard to deliver these new products to our customers with excellence. We're even more excited about 2021 beginning with Epic Stuffed Crust, which we launched in the last week of 2020 and is a big part of our 2021 plan. Stuffed Crust lovers are passionate pizza fans. And Stuffed Crust is something that our customers have been asking us for, for quite some time. Papa John's Epic Stuffed Crust is nothing like anything in the market today. It begins with our original fresh, never-frozen, six-ingredient dough, which we enhance with extra cheese, that is hand stuffed to create a delicious and differentiated product. Product innovation will continue to be an integral component of our strategy moving forward. We also continue to push forward with our marketing and technology innovation. Last year, Papa John's added ten million new and lapsed customers to our digital channels alone, helping popper rewards our loyalty platform gained more than five million new members. This opens up a big opportunity for us in 2021, as we roll out more targeted, unique experiences to our best customers. Now I'd like to turn to development, which is also benefiting from innovative new thinking and energy. In 2020, we rebuilt the foundations of Papa John's development efforts, all of it focused on maximizing our franchisees’ long-term profitability and return on investment. We appointed a new Chief Development Officer who rebuilt our development team and added strong new talent and new capabilities to the organization. We invested in innovative new tools and resources to support profitable franchise growth, including helping new and existing franchisees identify development areas, find optimal sites, and negotiate leases, and then guide them throughout the design and construction process. Papa John's has always had a very attractive restaurant investment thesis with low upfront capital requirements and one of the fastest paybacks in the restaurant industry. Growing AUVs and improving unit economics make it even more attractive to invest in new Papa John's stores, both for franchisees, and for the company, as Ann will discuss in a moment. While pandemic restrictions largely prevented or slowed new store openings last year, we are confident that in 2021, we will return to historical levels of development. We have a robust domestic and international development pipeline in place, including as I said, before many new company stores. We are excited about the opportunity to build more company stores. This also creates more optionality in terms of driving profitable growth as we seek our perspective is current developing franchises to open up in new territories and accelerate our development growth. New, I want to discuss how Papa John's company-wide spirit of innovation is driving operational and financial excellence. As we build a model for sustainable, long-term growth, and value creation, the benefits all of our stakeholders. Our restaurants are focused on developing our people, improving our operations and delivering greater levels of profitability with a comprehensive plan, which we're calling customer first always. Our goal here is to improve restaurant productivity, while we consistently exceed customer expectations. We are building off a remarkable year and I'm so proud of our team. Despite a historic rise in sales volume, a record number of new menu items and fundamental changes that we made to our operating model, like no contact delivery, our restaurant staff rose to these challenges without allowing them to negatively impact our customer satisfaction levels. Now that we have adapted to higher volumes in a more rapid pace of innovation, we couldn't be better positioned for continued improvement and excellence. We continue to lean into our efforts to remove complexity and simplify our operations. In 2021, we're focused on maximizing the impact of a number of productivity initiatives that we launched last year, including deploying dos spinners, enhancing the make line and retrofitting our cut stations. We will also rollout initiatives to maximize the productivity of our team members, like Papa Call, our centralized order taking and customer service center, which allows our stores to focus on making great pizza, not answering the phone. This results in incremental transactions and labor savings, not to mention better customer experiences. Our strategic partnerships with the national delivery aggregators also continue to be a key differentiator for operating model, enabling us to scale delivery to more customers during peak times. This has the dual benefit of generating incremental profitable sales and improving staffing, utilization. 2020 was a transformational year in these partnerships as we saw sales through aggregative increase four-fold contributing in part to our record growth. And we expect these partnerships to be a key part of our long-term growth plan. Next, I want to turn to the inclusive, diverse and values driven company that we're building. I'm very proud of the fact that we have such a diverse leadership team. Having a diverse, equitable and inclusive culture is consistent with our values. But even more importantly, I see every day how diversity and inclusivity enable the innovation and makes us a better brand and drives our long-term success. Building a company where everyone belongs, helps us attract and retain talent in a highly competitive environment. It helps us drive innovation that reflects and resonates with the increasing diversity of our customers, both domestically and globally. As an outcome of this commitment, I'm proud to share the Papa John's received a score of 100 on the Human Rights Campaign’s 2021 Corporate Equality Index, measuring corporate policies and practices related to LGBTQ workplace equality. Papa John's is the only pizza company to earn a score of 100. And one of only 42 companies in the food, beverage and grocery category to earn top marks this year. I'm also proud of how the Papa John's family lived up to its values last year, supporting our fellow team members, our customers, and the communities we serve during very challenging times. For example, we donated over 500,000 pizzas to first responders, frontline workers and communities in need and raised over $3.6 million for COVID-19 relief and the fight for racial justice. We hired over 30,000 new team members, many of whom had been displaced from other jobs by the pandemic. And we paid a special end-of-year hero bonus to approximately 14,000 frontline team members in the company's corporate restaurants and supply chain. In addition to mid and end-of-year bonuses and expanded benefits for corporate employees like free virtual doctor's visits. There is no greater asset that our company has and our employees, and we will continue to do everything we can to take great care of them as they continue to take great care of our customers. As we begin 2021, we're committed to building a company and brand that we are all proud of. As we look ahead, we are optimistic about the impact of the vaccines and how they will help all of us overcome this terrible pandemic. In the meantime, we continue to focus on taking care of our employees and customers while moving forward with new product, marketing and technology introductions, as we did in 2020. I'll now turn the call over to Ann to discuss our financial results in more detail. Ann?
Ann Gugino: Thank you, Rob, and good morning, everyone. As Rob said, it's a very exciting time for Papa John's as innovation drives excellence across our company, including our strong financial performance, record free cash flow and balance sheet, and ultimately a great outlook for 2021 and long-term sustainable growth. This morning, I'd like to discuss each of these areas beginning with our financial performance. As Rob indicated, the record momentum in the second and third quarter continued in Q4. A 15% rise in global restaurant sales for the quarter in combination with the end of the We Win Together franchise support program resulted in a $29 million increase in adjusted operating income. I'd note, we achieved these superior results at the same time, we made continued investments to protect and support our team members, including the $2.7 million special end-of-year bonus we paid to corporate frontline team members. On a segment basis, higher adjusted operating income was driven by North America franchising and international, which both demonstrated the high flow through of royalties on higher comparable sales and by substantial improvements on the unallocated corporate expenses lines reflecting the end of the We Win Together program in the third quarter. In domestic company-owned restaurants, a number of factors were at work resulting in a decline in operating income. But importantly, core performance improved. First, segment operating income was impacted by proactive investments in productivity like the roll out Papa Call and in customer experience initiative, as well as our investments to protect and support our people for example, with the year-end bonuses. Second, there was a $3.2 million headwind from our Papa Rewards loyalty program in addition to $2.9 million in refranchising gains affecting the year-over-year comparison. Setting aside those factors, corporate restaurant operating income improved with a significant benefit of sales growth and operating leverage. Continuing to earnings on a GAAP basis, earnings per diluted share increased to $0.28 compared to a loss per diluted share of $0.18 a year ago. These results included a number of special items, a net $0.12 expense associated with our strategic corporate reorganization announced in September and a net $0.07 one time gain from refranchising a year ago, excluding these special items adjusted earnings per diluted share rose from a loss of $0.25 a year ago to $0.40 this year. Improved operating results drove the 65% year-over-year increase slightly offset by a $0.03 negative impact from the allocation of undistributed earnings to participating securities, primarily the series B preferred shareholders. The special year-end bonus I previously mentioned impact EPS by approximately $0.06 in the quarter. Let me now turn to restaurant profitability, which is a fundamental driver of results for our company and our franchisees. This too was a great story in 2020. Double digit comp sales contributed to record breaking average unit volumes or AUVs in North America exceeding the $1 million mark for the first time in the company's history. Food, labor and mileage costs were also at the lowest level ever as a percent of sales in spite of increased spending related to enhanced hygiene. As a result, fiscal 2020 median unit profits and margins were some of the highest in the company's history. In fact, we saw the greatest improvements in the bottom quintile stores, which is very encouraging because it means the brand strong performance is benefiting all of our franchisees. Now turning to development. Through the third quarter, new restaurant openings had slowed as a result of the pandemic. However, in the fourth quarter development picked up with 25 new restaurants opening in North America and 73 internationally. As for closures, we achieved some of the lowest closure rates in North America in several years in the second and third quarters, reflecting our sales momentum and improved unit profitability. In the fourth quarter, closures picked up slightly with 22 in North America and 36 internationally. However, this largely reflects strategic actions to close unprofitable locations. We believe this has created a more profitable foundation going into 2021, freeing up capital and management focus for us and our franchisees to develop new profitable opportunities. Now I'd like to turn to free cash flow and our balance sheet. Strong earnings as well as favorable changes in working capital, including an approximately $40 million benefit from the timing of payments associated with our marketing fund contributed to a dramatic increase in free cash flow last year. Defined as cash flow from operations, less capital expenditures and dividends paid to preferred shareholders and free cash flow jumped to $137.1 million versus $14 million in 2019. As a result, we ended the quarter with net debt of only $220 million, down $120 million from a year ago and a debt to EBITDA leverage ratio of 2.4 times, indicating the strength, optionality and security provided by our balance sheet. Papa John's free cash flow generation, which is an inherent aspect of our franchise business model is strengthening our balance sheet and positioning us to invest in long-term growth while continuing to return cash to shareholders. During the fourth quarter, we paid a cash dividend of $10.9 million to our common and preferred shareholders. Subsequent to the fourth quarter on January 25, our Board of Directors declared first quarter cash dividends of approximately $10.8 million to be paid to common and preferred shareholders. The first quarter common stock dividend is $0.225 per common share. Last quarter, we also opportunistically repurchased 32,000 shares for $2.7 million or $83.90 per share under our previously announced $75 million share repurchase authorization. We continue to evolve our capital allocation strategy as their balance sheet has dramatically strengthened over the past 12 months. As we said, we seek to bounce three key priorities investing in high return opportunities, maintaining a strong balance sheet and returning capital to shareholders. We look forward to providing further updates on future calls. I'd like to wrap up with a few points on our outlook. As Rob discussed innovation across the company positions Papa John's with great momentum and prospects in 2021 and beyond. Leveraging the strength of our balance sheet, we will invest to accelerate our momentum, increase in capital expenditures to $65 million to $75 million focused on three areas. First, we are ramping up investments in new store development, which in and of itself is a high return use of capital. It is also a strategic one as our company owned stores are often the seed for franchise development activity in new markets, or for investors who want to begin with a turnkey operation on which to build. Second, we will continue to invest in innovative new products and technology that builds on our differentiated brand and exceed customer expectations. Third, we are moving forward with investments to improve productivity in restaurants and across the system. Given the volatility and business uncertainty surrounding the future impact of the pandemic, we are not providing revenue and earnings outlooks for 2021 at this time. But I can provide a few comments at this point. First, as a reminder, we're coming off spending nearly $30 million last year on the We Win Together program to support our franchisees, which further strengthens our earnings position going forward. Second, we expect to incur approximately $9 million to $14 million in further one time severance, relocation, and other expenses related to our realignment and new Atlanta office plans. This is the remaining portion of the approximately $15 million to $20 million in total expenses we previously announced. As we have said, we see these costs as an investment in both the company's innovation and top line growth, as well as in our efficiencies and commitment to reduce overhead. Third, as we think about the shape of the year, while last year's first quarter comps were modest. Our counts were significantly stronger in the back half of the year when we saw the acceleration of our strategy and successful response to the pandemic. And my last specific point on 2021, free cash flow will reflect the higher strategic CapEx and the reversal of the working capital timing benefit we saw in 2020, which I just described. To wrap up my comments, I want to emphasize again, our optimism about Papa John's near-term and long-term outlook, innovation across Papa John's is also reflected in our financial results, which positions us very strong for 2021 and long-term growth. We are very excited about our future and look forward to updating you on upcoming calls. I'll now turn the call back over to Rob for some final comments. Rob?
Rob Lynch: Thank you, Ann. I couldn't agree more. Papa John's continues to move forward on a sustainable long-term growth path with tremendous promise and potential. Thanks to the hard work of our team members and our franchisees. In 2020, our innovation engine proved that it can drive significant comparable sales growth through new products, marketing and technology. Now with our development infrastructure and franchise investment thesis, stronger than ever, we are poised to move forward on our vast unit growth opportunity, which represents a second key lever for top-line growth.  Given our businesses substantial operating leverage and excellent free cash conversion, top-line growth positions as strongly for accelerating long-term earnings and free cash flow, which we can reinvest in growth and generate shareholder returns. I'm very optimistic about 2021 for our company, for our communities and for the world. I'd like to thank our shareholders and everyone on this call for their interest in our company and for their continued support. With that, I'll turn the call over to our operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Alex Slagle with the Jefferies. Your line is now open.
Alex Slagle: Thanks. Good morning. On the 2021 development outlook, you talked about getting back to the historical levels of growth. Appreciate any additional color there and this growth is sort of varied the last few years. And then, if you think there could be an elevated level of closures in certain market as others [ph] QSR has seen, I know you guys haven't seen as much, but any thoughts on what to expect in 2021 on that front?
Rob Lynch: Hi, Alex. Thanks for the question. Yes, we couldn't be more excited about development. 2020 with a year of rebuilding our infrastructure. We brought on a lot of new team members, new leadership. We built new capabilities, both to support our domestic development efforts as well as our international development efforts. And we did see some closures in 2020 more than the sales growth warranted. But I think that helped us to kind of clean up the system a little bit and make sure that we were well positioned for disproportionate growth moving forward. And so we're already starting to see those seeds that we planted, bear some fruit. We're very excited about our start to 2021, and then the restaurants that have already opened this year and our pipeline is very robust. We've added a lot of new franchisees that have come on with development agreements planning to open up new white space opportunities, as well as franchisees who are continuing to develop the white space that we have in the markets we already competing. So 2021 will be a year. It is dramatically different than the development results that we delivered in 2020.
Alex Slagle: Got it. And then just wanted to follow-up, you've done so much work repositioning the brand and the image and lots of exciting innovation. So curious what your metrics on brand sentiment and guest satisfaction are telling you. And if there's any areas you want to focus additional attention on going forward?
Rob Lynch: Yes, our brand – our overall brand sentiment is very strong, obviously coming off some lows back in 2018 and 2019. There's been a big bounce back in overall brand sentiment. But what I'm really excited about is our restaurants had a huge increase in demand and transactions in 2020. And a lot of times, that puts stress on the operations and can therefore result in lower customer satisfaction scores. So not necessarily brand sentiment, but customer satisfaction. We didn't see that in 2020. Our team stepped up to the challenges we highlighted in our comments, stepped up to the challenge, dealt with the incremental transaction. And we had to bring on a lot of new team members to be able to handle the influx of transactions, but our team did it. Our franchisee did it, and now it's just become the new norm. Our operating model is set up to be able to deal with these types of volumes and the customer satisfaction scores have not been negatively impacted, despite all that incremental volume.
Alex Slagle: That's great. Thank you.
Operator: Thank you. And our next question comes from Brian Bittner with Oppenheimer & Company. Your line is now open.
Brian Bittner: Great. Thanks. Good morning. Your company owned store level margins, they seem to jump around a bit and there's a lot of moving pieces there, particularly in this quarter. Maybe you can help us understand what a clean company owned margin would look like or what you didn't anticipate to generate at these current AUV trends that you're seeing in your company-owned stores?
Rob Lynch: Yes, there's a fair amount of noise given some one-time benefits that we saw in 2019, and then some investments we made in 2020. The investments in our team members and our frontline worker bonuses that we made at the end of the year that hits our restaurant P&L. And so without kind of really digging in deep, it can look like our restaurants are less profitable than they were a year ago, and nothing could be further from the truth. We've seen a lot of incremental productivity of our restaurants. We're also seeing a great flow through from the AUV levels that we reached this year. And so, I mean, I can turn it over to Ann. She can walk it through a little bit more of the detail on why that can be a little bit misleading.
Ann Gugino: Sure. So I think as you pointed out Rob, there's a number of moving pieces in the one-time benefits. And in addition, our Q4 performance reflects proactive investments in productivity and customer experience initiatives. As you pointed out, our unit economics are strong and I've never been more compelling. So between the one-time benefits in the fourth quarter of 2019, that we lapped namely Papa Rewards and refranchising gains and the one-time investments in bonuses. Those discrete items equate close to about $9 million of pressure year-over-year. So when you exclude those items, absolutely our core profit in the restaurants has been improving. When I think about going forward and removing that noise, I think you can look at that $10 million or $9 million to $10 million that I talked about of discrete items and back that out and we would expect similar flow throughs in general. We would expect to grow our restaurant EBITDA faster than our sales. The other thing that will help us next year is the We Win Together program. So I would say that's definitely a tailwind as well, so we would expect our margins to continue to improve.
Brian Bittner: That's great color, Ann. Appreciate kind of the quantification around it. My follow-up question is just Rob, how do you think about the opportunity for AUVs in North America? And look, I understand you don't want to give any specific guidance, either near-term or long-term, but you've had an amazing year yet. Your AUVs still are kind of at that $1 million range, which any type of analysis would suggest those have room to further grow. So maybe you can talk about how you see that. And maybe you can give us some color on maybe what the AUVs look like in your top quartile stores. So we can potentially maybe understand the AUV profile of your better stores.
Rob Lynch: Yes, I mean, our AUVs 18 months ago were 850,000. So the fact that we're at $1 million today is a huge amount of growth in a short amount of time. So we couldn't be more excited about crossing that threshold. Our restaurants have never been more profitable both from margin and on an absolute basis. So our best restaurants are obviously, better than the average. I mean, our company restaurants are average AUVs in the – is over $1.1 million. So we have a lot of continued upside on the – from an AUV standpoint. We have expanded our capacity at the restaurant level. As I mentioned, our transactions have been up dramatically and we've had to adjust to that and we've gotten better and better. Our customer first always focus is all about improving the customer experience, which is driven by the time it takes to deliver. And as we shorten the time that it takes to deliver our throughput goes up, which therefore can also generate greater AUVs. So we're really bullish on AUV growth domestically.
Brian Bittner: Great. Thank you.
Operator: Thank you. And next question comes from Eric Gonzalez with KeyBanc Capital Markets. Your line is now open.
Eric Gonzalez: Hey, thanks for the question in the morning. I appreciate all the comments about development in terms of the pipeline and all that groundwork that really got you into the position that you are in today to accelerate the unit growth. Give it all – given the improvement in overall strength of the economic model, what do you think are the major roadblocks or constraints to accelerate development further over the next one to two years?
Rob Lynch: Frankly, I know that this is going to sound maybe overly bullish, but we don't really have a lot of roadblocks. I mean, we've built an infrastructure now where we are able to assist our customers or I'm sorry, our franchisees throughout the entire process. We never had a real estate team in the past. We never had an advanced mapping capability to highlight, where new trade area opportunities are. We never had really sophisticated design and construction capability. And we built all this over the last year and we're ready to deploy that up against franchisees who have more cash than they've ever really had. These restaurants, the new AUVs, and the improvement margins that we're seeing are generating a lot of free cash flow for our franchisees. And they want to invest it back in the brand because they believe in the future. So – if I was to call out any type of roadblock, it would be just people still being hesitant in some of our white space territories to dive in, not knowing how the governments – their respective government in those geographies are going to handle the pandemic over the next six months. That's really a handful of geographies. We have people that we're talking to that want to go in and open up those markets. And they're still in a little bit of a wait and see mode, but once we get through that period, I think the governor comes off and we're ready to build a lot of restaurants and we're already seeing it in markets where we have franchisees. They're building restaurants this year already. And we think that this year is going to be a year where we return to a very strong level of development across the globe.
Eric Gonzalez: That's super helpful. And separately in terms of sales channels, can you talk the relative growth rates between self delivery, third-party delivery and takeout? I don't know that you've ever really talked about the delivery or takeout mix, but maybe you could frame it as which channel has more opportunity going forward, whether that's delivery or takeout?
Rob Lynch: We're focused on delivery. During this period, delivery has never been more important as people have kind of sheltered in place, both domestically and globally, so about 75% of our business is delivery. And we're really focused there. In terms of the third-party aggregators, they have – the numbers as well as I do. They're growing triple digits and we are a big partner of the national aggregators and they've become a big part of our business. And we're excited about that. We view those transactions as very profitable, very incremental. Our objective is to be where the customer wants to order. So, our most loyal customers are on our loyalty platform. The customers that are coming through the aggregator channels tend to be customers that haven't really ordered from us before. Our objective is to deliver great service, great food to them. And as they become better customers of Papa John's, then hopefully they're going to transition over our loyalty platform because there's benefits for them in doing so. So that's kind of a – that's kind of our approach, which I know is a little bit different than some others in the industry, but we've been very happy. And the size of the aggravator business of our business with the aggregators has tripled over the course of the last year. So we're really happy about the growth there.
Eric Gonzalez: Thanks so much.
Operator: Thank you. Our next question comes from Peter Saleh with BTIG. Your line is now open.
Peter Saleh: Great, thanks. Rob just one more question on the development side, given where the AUVs are and the franchisee economics. Now, you guys are confident in accelerating the growth, but can you just give us a sense on where around the country, regions of the country that you plan to target in 2021? And just a sense that you also talked about bringing in some new franchisees, how much of the development next year or maybe even thereafter, do you anticipate coming from existing franchisees versus new franchisees?
Rob Lynch: Hi, Peter. So we believe that there is development opportunity really in every market. We – as I mentioned earlier, we have redeveloped our mapping tool. In the past, Our maps have been drawn by just where restaurants were. There was not a lot of analytics, not a lot of data that went into how we should optimize our delivery areas. We have built a capability now that is a 100% data driven, and we are able to apply that every market domestically and our franchisees are asking us to do that. Markets that were historically thought to be completely built out and develop have significant opportunity. We obviously have big white space in places like California and out west where we're less developed, but we are identifying development opportunities really in every market across the country. In terms of new versus current franchisees, right now, I'm really excited that it's a balance. Most of our big development agreements over the last six months have been kind of new franchisees or relatively new franchisees getting involved and wanting to build that what we're seeing really over the last few months is we closed last year and headed or heading into this year and built this tool is that our current franchisees want us to come into their markets and remap them, because they want to grow. They've just thought in the past that they didn't have a lot of room to grow and that mindset is changing because of this new technology. And so it really is we anticipate a very nice balance of current franchisees as well as new franchisees.
Peter Saleh: Thanks. That's very helpful. Can we talk about the same-store sales and how much of the – that same-store sales you guys are getting in the current quarter or in the fourth quarter? Do you think it was more of a sustainable type figure going forward versus how much of that do you feel is was more a pandemic tailwind?
Rob Lynch: I mean, as you know Peter, comps can be misleading. What we focus on is what are the sales volumes of our restaurants. And our AUVs on our weekly per store averages have been extremely high, Q4, 13.5% comp sales growth, obviously not the 23.8 and the 28 that we delivered in the two quarters prior. But with very high level of sales through the restaurant, and we're seeing those high PSA [ph] continue into 2021. And we're very confident that a lot of that – a lot of those sales are coming from the innovation. We couldn't be more excited about the launch of Stuffed Crust. Step change for our business, huge amount of mix – represent a huge amount of mix and all the tickets are higher. The Stuffed Crust customer is [indiscernible]. They have higher frequency, higher ticket averages. And we haven't really been able to tap into that in the past. So that's a brand new launch that happened at the start of this fiscal year. And we couldn't be more excited – exceeded all of our expectations. So we think that we keep coming with ideas like that. We keep coming with new product innovation, we're going to continue to grow our PSA and the comps will follow up accordingly.
Peter Saleh: Excellent. Thank you very much.
Rob Lynch: Thank you, Peter.
Operator: Thank you. Our next question comes from James Rutherford with Stephens Inc. Your line is now open.
James Rutherford: Hey, thanks for taking the questions. I wanted to start off on a question on operational complexity. It's impressive the amount of innovation that you all have driven in the last year or so. I'm just curious what you're hearing from your franchisees in terms of running stores, given these higher sales volumes, especially with things like hand Stuffed Crust, Papadias, and a variety of other things, is that a big focus or priority for you all in the new year? And does that sort of relate into one of those CapEx priorities, which I think was around sort of productivity improvements at the store level?
Rob Lynch: So we have made a lot of investments and our restaurant infrastructure, if you will, Dan highlighted last year we invested in those spinners, which maybe faster, easier, more consistent to pound out our dough. We've invested in [indiscernible] productivity and we've invested in our cut station. So we did all that because we knew that we were going to be a brand that focused on innovation. And we had to make our restaurants as operationally efficient as possible. When we approach innovation, we really hold all of our innovation to three different criteria. One, it needs to be customer friendly – customers have to desire the product. We do a lot of testing to understand whether or not our customers think that these are good ideas or they like these new products, right. That's kind of the obvious one. But the other criteria that go into or innovation is one, it also have, two, it has to be supply chain friendly. We're not going to add a bunch of new ingredients that kind of recap on our supply chain from a supplier standpoint or an inventory management standpoint that can be a really challenging dynamic and we're vertically integrated supply chain. So we want to make sure that we are streamlining that as much as possible. And then lastly, it needs to be operations friendly. And I can tell you that Stuffed Crust was probably the most challenging innovation. This brand has ever had the launch, and that's why it took us a long time. We worked on that product for a year and it wasn't just us as a company. It was us working hand-in-hand collaboratively with our franchisees. We have been testing this and developing the process to launch Stuffed Crust with our franchisees really over the course of 2020. And that's why when we launched it, we were ready to launch it. And at first there's a little bit of a learning curve, but we put it into our restaurants a week early and mitigated a lot of the challenges that the operators were going to have before we really turned on the media machine and launch it full scale. And so when we did launch it, we had a very seamless launch. And now when you talk to operators, we go in and talk to them Stuffed Crust is just another thing that we make. And so that's how we approach all of our innovation, whether it be Papadias, Shaq-a-Roni, Stuffed Crust, it's got to be have a lot of strong customer pole. It's got to be supply chain friendly and it's got to be operations friendly.
James Rutherford: Very helpful. And then one more question, if I may. During 2020, it was called out that you were both check and traffic were comp drivers. If there's a way to quantify that it would be great. But importantly, can you ranked out some of those main check drivers and how you think about lapping those dynamics in 2021 as perhaps the market may be as the margin shifts to more of a carryout market where check is lower or, just behaviors change, how do you think about lapping check in 2021? Thank you.
Rob Lynch: Yes, our check growth was not a function of pricing. Our check growth was a function of mix. I mean, our innovation came in, and Papadias became very incremental very quickly. So instead of buying on average, two pieces, people are buying two pieces and a Papadias. That growth checks very quickly. We also, as we talked about way back in 2019, we focus on a more targeted and surgical approach to discounting. Instead of sending out 50% off coupons to everybody, every week, we were leveraging our loyalty data and our purchase data to be more targeted and surgical. So, part of that check growth is really just more precise and efficient, productive, discounting strategy. So between new innovation that drove incremental items on a check or new innovation, like Stuffed Crust, or Shaq-a-Roni, both of those programs are $12 promoted price points, our average piece of price point is $10.50. So, when you're launching innovation at above your average price point, you are going to derive check growth. And so, as we look forward and try to maintain, that healthy balance of trans and check, which is almost fifty-fifty, in 2020, it's really going to be driven by innovation. And that's getting even better being able to offer targeted surgical discounts to our customers through the almost five million new members that joined our loyalty program this year. So, as we continue to scale that loyalty program, we continue to bring new folks in, it allows us to be more effective and more productive with our discounting. So, animation and embedded better targeted discounting are the ways we're going to continue to grow that check part. 
James Rutherford: Thank you.
Operator: Thank you. Our next question comes from Chris O'Cull with Stifel. Your line is now open.
Chris O'Cull: Thanks, Good morning, guys. My question relates to new store economics. And I was hoping you guys could give some color on new store average unit volumes, margin performance and investment levels to be using the traditional format?
Steve Coke: Yes, Chris, I mean, we're not seeing a huge disparity in our new store performance relative to kind of our average store performance. I mean, obviously, the majority of our new store growth comes internationally where our AUVs are lower than they are domestically. So, if you look at it in a macro, and you say, on average, what are our new stores doing, it'll be lower than our domestic average, because a lot of those are coming from international. But we're not seeing new stores in a geography that has current ROE in some restaurants.
Chris O'Cull: Okay, and then Rob, I'm wondering how your new team is thinking about approaching domestic development in non-core markets, because in the past, the performance in non-core markets has been a little bit more inconsistent for Papa John's. So how are you guys going to go about it differently you think?
Rob Lynch: Well, I mean, our new stores – our lives for our new stores have never been better. So, our franchisees want to build more restaurants, the economics are unbelievable. I mean, the payback on these things I haven't seen it anywhere than I have been in QSR, [indiscernible]. So, the franchisees really want to develop, they know they can be very profitable, and make a lot of money. They have been under the mindset of they are built out in markets, where we have pretty good penetration. And so, what we've done is we've gone and we've built this mapping tool, and essentially, it takes the trade areas, and it takes everything into account from household count, traffic, traffic mapping, and every other detail that can go into how we should be thinking about where to build stores, and how to make sure that those stores are successful. And we're going into these markets that with franchisees who thought they were built out and showing them a lot of opportunity to build more restaurants. And, frankly, the AUVs wanted it at this point. And so, that's really our strategy. We've announced it to all of our franchise community and now they're asking us to come into the market and show them where they can build. So that's the model We're seeing a lot of excitement domestically. And then on the new franchisee front, we're in discussions with a lot of franchisees who want to come in. The challenges not a lot of current franchisees want to sell right now. So, we're looking for whitespace opportunities, we're exploring opportunities for us to be able to leverage our balance sheet and our restaurants to bring new franchisees in where it makes sense. So, it's going to be a healthy balance of current franchisees developing as well as new franchisees coming in.
Chris O'Cull: Okay, and then just one last one. The international comp has really accelerated on a one- and two-year basis. And I'm just hoping you can maybe elaborate a little more around, what are some of the initiatives that's driving that success? Is its new product news, customer introductions to kind of the loyalty program or something? I'm just trying to understand what's driving the international comp growth? 
Rob Lynch: Yes, it's a lot of things Chris, Frankly, we kind of reorganized our international team, we announced that last year when we announced our reorganization domestically. We structured in a way that we put more focus up against our major markets, versus being very fragmented globally and kind of considering every geography equal. And what that's done is it's allowed our team to really work with franchisees in new geographies in these major markets, building out new strategies on how to be better operators and how to be better marketers. And we've been working with them, really, throughout the pandemic to do that. Our UK market is our second largest market, and frankly, it's our best performing market significantly better than even the United States. And so, markets like the UK, Chile, even China now has bounced back dramatically. These are big strategic markets, and we've put more resources up against them, both from a support standpoint, making them better operators, helping them become more sophisticated, but also from a marketing standpoint. And I'm excited about we just launched – we’ve operated a lot of Papadias in about 25 geographies. So, the innovation is taking hold. And it's driving excitement internationally just like it is domestically.
Chris O'Cull: Great. Thank you, guys.
Rob Lynch: Thanks, Chris.
Operator: Thank you. Our next question comes from Lauren Silberman with Credit Suisse. Your line is open.
Lauren Silberman: Hi, thanks so much for the question. Rob you've previously talked about the opportunity to reach franchise company and its disparate development with new franchisees. Today, you talked about new franchisees, so existing franchisees don't necessarily want to sell. So, can you share your updated thoughts on potential re-franchising deals if this is a 2021 event, part of the development outlook for the year any change in your view?
Rob Lynch: Yes, I mean, I can't give any specifics around any deals that we're working on. But I can tell you that we're working on deals. I mean, we are in conversations with franchisees both current as well as prospective who are very interested in purchasing company restaurants. But the challenge, Lauren is, these restaurants are very profitable for us. 18 months ago, when we started talking about refranchising, restaurants as per development, the economics were very different around our company restaurants. And so, trading company owned restaurants for royalty stream seemed like a really easy decision to make at this point, because of the margin enhancement, because of the flow throughs, because of the AUVs, it's become a little bit of a different math equation. So, we are working with franchisees, I mean, it's going to take a lot of development for us to part with our restaurant. And so, we're in active negotiations and discussions with franchisees, but it's not as simple as just going to an asset light model, because we're making a lot of money on our restaurants.
Lauren Silberman: Understood. Just to follow-up on commentary for unit growth in 2021, to return to historical levels, can you put any numbers around that, is 100 plus new opens North America and 225 plus International, the right would think about it? And then are there any thoughts on how we think about the step up in absolute unit growth over the next two to three years?
Rob Lynch: So, we're not getting any guidance on new units in 2021 specific numbers, but I can tell you that we are saying that we're going to get back to kind of historical level so you can look at kind of net new restaurants over the last five years and kind of get an idea of what we're thinking about. And I can also tell you that we absolutely believe that it's going to accelerate year-over-year moving forward. We are making big investments from – a team standpoint making sure we have the right resources to go out into these markets and work with our franchisees on opening new restaurants. And we’ve got a tone of whitespace. So, as we come out of the pandemic, those whitespace opportunities become real opportunities, people have more confidence to enter into the development agreement. We're absolutely bullish on the acceleration of the number of restaurants over the next three to five years.
Lauren Silberman: Okay, great. And then just on the cadence throughout the quarter, are you willing to give any color on either comps or sales volumes throughout 4Q? And then just, I think, you mentioned something about early 2021. Are you seeing any step up in early 2021, at least on sales volumes, or any commentary that you're willing to give in February, the performance across markets?
Rob Lynch: Yes, Q4 was pretty consistent, right around, between 12% and 14%, really, for the whole quarter. We didn't see a real big rate of change from the beginning to the end of the quarter. We're not giving any detail on Q1 performance at this point. But I can tell you that we are extremely pleased with the start to 2021. And we believe that the great performance we're seeing in 2021 is driven by organic growth from innovation, as opposed to any change that could be – would be driven by any Corona, driven behavior. So that for us, Q1 has given us a lot of confidence that we're going to continue to outperform the industry, long after the pandemic recedes.
Lauren Silberman: Great, thanks so much.
Rob Lynch: Thank you, Lauren.
Operator: Thank you. Our next question comes from Dennis Geiger with UBS. Your line is now open. 
Dennis Geiger: Great, thanks for the questions. Wanted to ask a bit more about the domestic sales and AUV opportunity this year. Rob, you talked about a strong lineup of initiatives, following up on a strong lineup for 2020. But can you comment to any more on kind of the prospects to retain some of those sales volumes and really more importantly, to retain as many of those 10 million new customers as you can I'm not sure kind of framing up some of those initiatives that then best help you to maintain those customers. And may be talk to kind of the targeted, unique experience for your best customers if there's anything more to add there. Just kind of any color and context around that would be helpful.
Rob Lynch: Thanks, Dennis. Yes, I mean, I would point to three reasons why we believe that we're going to be able to retain customers at a higher rate than we have in the past. One is the loyalty program, we're seeing ten million new customers, almost five million of them came into our loyalty program. Our loyalty members are our most valuable customers, they have higher degrees of frequency, they are engaged with the brand, we're able to interact with them and target them for offers that we think will be most conducive to inspiring them to come back more often. So, the growth of our loyalty program is one point. The second point is our innovation. As I mentioned, our stuff cross is launch target a group of customers that are avid pizza fans, they have higher frequency and higher tickets than the average pizza customer. And so now that we have stuff crossed, we believe we're going to be able to bring a lot of those customers over to our brand. And they are going to come back with greater frequency and be added fans as opposed to the normal rate of frequency with a normal piece of customer. And then lastly, that the changes that we're making in our operations, our customer-first always initiatives are really focused on improving the customer experience on every level, delivering, hotter, more delicious food, faster, with more friendly service. I mean, that's what it's all about. So that's a new initiative for us. We invest in the infrastructure behind that last year in the execution of it is this year. So those three factors give us a lot of confidence that we're going to be able to retain customers at a higher rate than we have.
Dennis Geiger: That's great. And maybe just one more if I could just kind of another one on margins. And I think you gave great color on how to think about EBITDA relative to the sales growth at a store level. But just wondering if you could talk a bit more about the margin opportunities and the efficiencies from here clearly seems like there's a lot of focus on driving efficiencies for your company stores for your franchisees. So just kind of thinking about the buckets, the four-wall restaurant margins, and then even beyond, thinking about maybe some G&A efficiencies commissary efficiencies over time, is there much that you can add there on where you are now and where you can go on, various margin buckets from here? Thank you.
Rob Lynch: Thanks, Dennis. Ann do you want to comment?
Ann Gugino: Sure, I’ll start. So yes, we definitely see a lot of opportunity longer term. So, we definitely have the advantages of scale on our side, meaning as we grow, we can continue to leverage our supply chain and development infrastructure we just built, as well as the technology footprint in our marketing assets. So definitely scale. And then keep in mind, the primary ways in which we create operating efficiencies is by making investments that lead to higher sales growth and higher strength in the business, which also a new unit growth. So, we feel like there's a lot of future opportunity.
Dennis Geiger: Great, thank you.
Operator: Thank you. Our final question comes from Todd Brooks with CL King & Associates, your line is now open.
Todd Brooks: Hey, good morning, everybody. Just one question in two parts. You talked about the epic stuff cross performance out of the gate and taking the time to get that right operationally. Can you maybe with whatever details you can give, but just in general, talk about the cadence of new product introduction, over the balance of the year now that you have rolled out the Stuffed Crust pizza? And then if we can just quickly review product promotion, and when you had the periods in Q2 and Q3, of the elevated same-store sales, with the pandemic tailwind, can we talk about how we promoted then versus kind of our promotional firepower that the brand has, at these new volumes in fiscal 2021 and how you plan to use it around existing or new products? Thank you.
Rob Lynch: Thanks Todd. Yes, one of the beautiful things about this model that is very different than the systems that have been in the past is our supply chain is – our vertically integrated – sorry, our vertically integrated supply chain is very – is a huge asset for us. And our strategy that makes sure that the innovation doesn't negatively impact the supply chain allows us to be very flexible, on the timing and the cadence of our promotions. So, I think we've talked about it a couple of times that we projected to have between, call it four and five new, big promotions and LTOs over on a yearly basis. However, we believe that if we have a big winner, someone like Stuffed Crust, then we are able to continue to sell that ongoing and continue to drive disproportionate sales, for our restaurants. And doing so there's a lot of flexibility, like in the past a lot of QSR chain, you have this calendar and you have ingredients that you need to bring in and take out and its kind of drives, okay, we have to execute as a way we built it. For this model, we're even have a lot of flexibility, a lot of optionality. And so, if we've got something that's really resonating with customers, we can extend that. If we have something that maybe isn't as big of an idea, we can shorten the amount of time that we focus our promotions on those items. So, with Stuffed Crust, it's been a huge success, we're going to continue to promote this, probably a little longer than maybe we would have promoted something that wasn't quite as successful. So, in terms of the amount of support that we're putting up against it relative to last year in Q2, and Q3, the level of sales, obviously, this model in our national marketing fund is an outcome of the sales in the system. And as our sales grow so to our marketing dollars. One of the things I was really concerned about early last year, looking all the way ahead to 2021 was how we were going to be able to laugh the We Win Together investments that we made in the marketing funds. Well, not only are we laughing those investments, we're feeding those investments as an outcome of the increased sales across the system. Year-on-year we are increasing the amount of investment behind our promoted items relative to even what we did back in 2020. So, lots of fuel to drive these grades. ideas and lots of flexibility on how we promote them and the cadence of our innovation.
Todd Brooks: Super helpful. Thanks, Rob. 
Rob Lynch: Thank you, Todd.
Operator: Thank you. This concludes today's question-and-answer session. I would now like to turn the call back over to Rob Lynch for closing remarks.
Rob Lynch: Well, I just want to thank you all for joining us and for your questions this morning. They're great questions. And afforded us the opportunity to continue to espouse why we think this brand is so well positioned for both the short term and the long term. We hope that all of you are as excited about the future of Papa John's as we are. 2020 was truly a transformational year for us. As a result, we couldn't be better positioned for 2021 and the long-term. And as we execute our plans for continued innovation and driving our top sales unit development, which in turn yield, sustainable long-term earnings and free cash flow, we will also continue to make sure that we're doing everything we can to take care of our employees, to take care of our customers. We look forward to getting back with you soon on the continued momentum and our outlook. I wish everyone well. Please stay safe. And I look forward to talking again soon. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.